Operator: Good day, ladies and gentlemen, and thank you for standing by. And welcome to the Schnitzer Steel, Inc. First Quarter Fiscal Year 2014 Earnings Release Conference Call. [Operator Instructions] As a reminder, today's conference may be recorded. It's now my pleasure to turn the floor over to Alexandra Deignan. Ma'am, the floor is yours.
Alexandra Deignan: Thank you, Huey. good morning. I'm Alexandra Deignan, the company's Vice President of Investor Relations. Welcome to Schnitzer Steel's first quarter fiscal 2014 earnings presentation. We're glad you're able to join us today. In addition to today's audio comments, we've prepared a set of slides that you can access on our website at www.schnitzersteel.com or www.schn.com. Before we get started, let me call your attention to the detailed Safe Harbor statements on Slide 2, which are also included in our press release of today and in the company's most recent Form 10-K and Form 10-Q, which will be filed later today. These statements, in summary, say that in spite of management's good faith, current opinions on various forward-looking matters, circumstances can change, and not everything we think will happen always happens. Please note that we will be discussing some non-GAAP measures during our presentation today. We've included a reconciliation of those metrics to GAAP in the Appendix to our slide presentation. Now let me turn the call over to Tamara Lundgren, our Chief Executive Officer. She will host the call today with Richard Peach, our Chief Financial Officer.
Tamara Adler L. Lundgren: Thanks, Ally. Good morning, everyone, and Happy New Year, and welcome to our fiscal 2014 first quarter call. On our call today, we will take you through a review of our financial results. I'll begin with some highlights and provide a perspective on market trends. I'll also provide an update on the benefits we are seeing from our cost reduction and productivity initiatives. Richard will then share with you further details on the financial performance of our operations. After that, we'll open up the call for questions. So now let's get started by turning to Slide 4. Today, we announced a first quarter adjusted loss per share of $0.18. Our financial results were impacted by a bad debt expense of $1 million and a charge for deferred tax valuation allowances of $1 million. In addition, due to the falling price environment during the first half of the quarter, we were also adversely impacted by an estimated $5 million of average inventory costs. In total, the impact of these items was an estimated $0.21 per share. As anticipated, our Metals Recycling Business improved sequentially and delivered results slightly above breakeven. Our Auto Parts Business also improved compared to the fourth quarter and reported operating margins of 9%, excluding the impact of new stores. Our Steel Manufacturing Business was in line sequentially, notwithstanding the bad debt expense resulting from a customer bankruptcy. Market conditions improved as the quarter progressed. Both prices and demand were relatively weak in September and October. In the second half of the quarter, demand strengthened and prices increased by approximately $30 per ton. Consequently, our performance in the last month of the quarter was significantly better than during the first 2 months. Amid these challenging conditions, we generated $26 million in operating cash flow, a significant improvement versus last year's first quarter. It reflects our ability to deliver positive cash flow despite a falling commodity price environment through a combination of positive EBITDA generation and improvements in working capital. During the quarter we also maintained our healthy balance sheet. We continued to return capital to our shareholders through our quarterly dividend and we added our fourth Auto Parts store in the Seattle-Tacoma metropolitan area, which also provides supply chain synergies to our Metals Recycling Business. We have seen continued improvement in market conditions through December. And we expect that these stronger markets, together with the benefits that are coming through from our cost reduction and productivity initiatives, will drive improved performance in each of our businesses in the second quarter. Let's turn now to Slide 5 for a review of market trends. As you can see on this graph, the export market has been experiencing an extended downward trend in both prices and volumes, while the domestic market has shown more resilience. In the second half of the quarter, however, both export demand and prices strengthened, largely due to continued strength in the domestic market. In December, we saw U.S. domestic prices continue to strengthen on tight supply flows and improved demand, which contributed to further increases in export prices. Let's turn now to Slide 6 to look at our first quarter sales volumes and end markets. Total ferrous sales increased 2%, as compared to the first quarter of fiscal 2013, and we expect our ferrous sales volumes in Q2 to be slightly higher than Q1. If you look at the pie chart on the left, you can see that in Q1, we sold the highest percentage of our ferrous volumes to our customers in Asia, followed by Turkey and then the U.S. We sold 33% of our ferrous volumes into the domestic market in the first quarter, an increase from 29% in Q1 of last year and 26% in the of fourth quarter. Excluding sales to our own steel mill, our domestic sales increased by 23% when compared to Q1 of last year. This demonstrates the flexibility of our platform, which enables us to access markets wherever demand is greatest. We shipped our ferrous and nonferrous products to 14 countries. Our top ferrous export destinations were Turkey, China and South Korea. And our top nonferrous customers were located in China, the U.S. and South Korea. If you turn now to Slide 7, I'll review our progress on our cost reduction and productivity initiatives. When we reported our fiscal '13 results at the end of October, we announced the $30 million cost reduction program, at least 70% of which should be achieved in fiscal 2014, with the remainder in fiscal 2015. These savings are coming from a combination of headcount reductions in our Metals Recycling Business, an extensive productivity improvement program, implementation of new transportation contracts and benefits from other newly negotiated non-trade procurement contracts. Our first quarter results include $4 million of savings from this cost reduction program, with approximately $3 million of that from MRB and $1 million from SMB. In MRB, approximately 2/3 of the savings came from headcount reductions and 1/3 from reduced transportation costs and other production efficiencies. MRB savings benefited the first quarter results, although the first -- although the full benefit is difficult to see since it was partially offset by the financial impact of the lower volumes we experienced in September and October. With the higher sales volumes we expect to see in Q2, these savings should show through more clearly. The SMB savings were offset by the $1 million bad debt reserve. In the second quarter, we anticipate additional savings in MRB of $2 million, which should further benefit operating income by approximately $2 per ton. So now let's turn to Slide 8. One of the most significant margin constraints in our business has been caused by the reduced supply of raw scrap. For a number of months, leading indicators of scrap generation, such as auto production and appliance sales, have been showing strength. Both of these indicators are important as they provide a significant source of feedstock to the scrap industry. These signs are encouraging and conserved to offset margin compression in the future as they drive increased scrap generation. But we're not just waiting for the markets to improve. We are proactively enhancing our supply chain by increasing our Auto Parts stores with a particular focus on those in proximity to our MRB shredders. During the last 12 months, we've expanded our Auto Parts retail network by 22%, adding 12 new sites, most recently, with the addition of our fourth APB store in the Seattle-Tacoma metropolitan area. In addition to enlarging our APB footprint, this store should generate more supply to our Tacoma MRB operations. We intend to continue to grow our Auto Parts Business to fully optimize synergies with MRB and to maximize supply to both operations. While we have not yet seen material and sustainable increases in supply flows and we wouldn't expect to in the winter season, the macroeconomic signs are encouraging. More importantly, the growth in our Auto Parts Business has been material and provides a supply chain synergy to our Metals Recycling Business. To the extent that we start to see sustainable increases in supply flows as a result of an improved macroeconomic environment, the pressure on purchase prices that we've been experiencing for the last several years may start to abate. Now let's turn to Slide 9 for an update on our Metals Recycling investments. In each of our businesses, we have organic growth opportunities that we expect will deliver benefits in fiscal '14. The organic growth initiatives in MRB are focused on generating benefits from the capital investments we've previously made in Canada and in Puerto Rico and from synergies with APB that are centered on increasing supply and improving processing efficiencies. In both Canada and Puerto Rico, we're seeing continued improvements in overall performance. The implementation of cost reduction and productivity improvements have begun to impact results and both of these regions should increase their contributions to MRB performance in the second half of the fiscal year. In APB, by the end of the first half of fiscal 2014, we expect to complete the integration and startup activities and expenses related to the sites acquired in fiscal 2013. And SMB should benefit from the full-year effects of productivity improvements implemented in fiscal '13. Now before I hand the call over to Richard, I'd like to take a few more minutes to highlight our strong focus on cash flow and reductions in CapEx spending. So let's turn to Slide 10. In the first quarter, we generated operating cash flow of $26 million, reflecting both business performance and benefits from reduced working capital. This pattern illustrates the underlying strength of our business model, including our focus on positive cash gross margins and strong management of working capital. This positive cash flow also enables us to continue to pursue our balanced capital allocation strategy, which includes the maintenance of moderate leverage, the ability to return capital to our shareholders through our quarterly dividend and our continued pursuit of low capital-intensive investments in APB. As we indicated in our last earnings call, we expect our CapEx spending in fiscal 2014 to be approximately 50% less than in fiscal 2013. In the first quarter, our spending was on track with this plan. Now I'll turn the call over to Richard for a more detailed look at the financial results from our operations and a review of our capital structure. Richard?
Richard D. Peach: Thank you, Tamara. I'll start with a review of our Metals Recycling Business on Slide 11. Compared to last year's first quarter, both ferrous and nonferrous sales volumes were higher on a year-over-year basis. Ferrous sales increased by 2% due to higher domestic sales volumes, which were up 15% year-over-year and which represented 1/3 of our total ferrous sales volumes. Nonferrous sales were up by 4% year-over-year due to an equal combination of higher production and increased shipments. MRB's operating income in the first quarter was $1 million, which represented a significant sequential increase compared to our adjusted results for the fourth quarter of fiscal '13. The first quarter benefited from a combination of market improvements in November, cost reductions and nonrecurrence of certain expenses which had impacted the previous quarter. The cost reductions are being delivered through a variety of strategies, which are mainly focused on production-related activities. We have reduced headcount through consolidating positions and reducing organizational layers. We've also renegotiated several contracts, leading to efficiencies in transportation, fuel, utilities and disposal. And in addition, we further optimized our asset portfolio through adjusting equipment utilization to match volumes and resources and through consolidating certain field [ph] operations. In the second quarter, we will continue to implement cost reduction initiatives and anticipate additional savings of $2 million, which will increase the quarterly run rate of MRB benefits to $5 million. Due to weaker markets in the first half of the quarter, the absolute level of operating income was still hampered by average inventory accounting, which adversely impacted the results by approximately $6 per ton. Looking ahead to the second quarter, benefits from further cost reductions and improving market conditions, which should reduce the impact of average inventory accounting, are anticipated to provide positive momentum for MRB financial performance. Now turning to Slide 12, I'll review our Auto Parts Business. Improving market conditions led to a higher sequential operating margin of 9%, excluding the impact of new stores acquired or opened in the past 12 months. In addition, compared to the prior-year quarter, car purchase volumes increasing significantly by 15%, mainly due to a contribution of 11,000 cars from these new stores. Financial performance at the new stores improved sequentially, and first quarter operating losses of $1 million reflected further progress on integration and startup programs. Based on current market conditions, we anticipate that new stores will achieve our own breakeven performance in our second quarter. We also continued to implement our Auto Parts growth strategy through the adding of one new location in the Seattle-Tacoma area. Now moving to the Steel Manufacturing Business, please turn to Slide 13. SMB sales volumes of 120,000 tons approximated the prior-year quarter, reflecting steady construction demand and supported a continuing trend of profitable quarters. Operating income of $2 million, included $1 million of incremental productivity improvements, which were offset by an increase bad debt reserve of $1 million related to a customer bankruptcy. Turning to Slide 14, I'll move on to cash flow and capital structure. In the first quarter, we generated operating cash flow of $26 million, reflecting positive EBITDA and strong management of working capital. In total, we invested $16 million during the first quarter. This included $14 million of CapEx, which was mainly maintenance related, together with the cost of acquiring the new Auto Parts store. The combination of our positive operating cash flow and disciplined levels of investment enabled us to maintain steady net debt leverage of 32%, and our strong cash flow track record continues to support our balanced capital allocation strategy, including our quarterly dividend. Now I'd like to turn the presentation back over to Tamara for her summary remarks.
Tamara Adler L. Lundgren: Thank you, Richard. Towards the end of our first quarter, overall market conditions began improving, and we're seeing indications of those trends continuing. We expect these stronger market conditions, together with further benefits from our cost reduction and productivity initiatives, will drive improved Q2 performance in each of our businesses. In fiscal 2014, we see several catalysts for growth. In addition to the cost reduction and productivity initiatives, we are focused on generating improved returns from our fiscal 2013 capital investments and acquisitions and from continuing to increase the synergies between our Metals Recycling and Auto Parts Businesses. Each of our businesses is well positioned to take advantage of the upturn in the market. We're not just waiting for the markets to improve, we are continually focused on the things that we can control: lowering our costs, operating efficiently, meeting our customers' needs, generating synergies between our businesses and achieving the returns from our capital investments. In closing, I'd like to thank everyone on the Schnitzer team, including my senior leadership team for their outstanding dedication to the success of our company. Our safety record has already improved significantly year-over-year, and I congratulate each and every one of you for making that happen and for your continued commitment to working safely and working together to serve our customers, our communities and our shareholders. Operator, let's open up the call for questions.
Operator: [Operator Instructions] And it looks like our first question in the phone will come Timna Tanners with Bank of America.
Timna Tanners - BofA Merrill Lynch, Research Division: One is around the direction of prices that you mentioned in the quarter rising $30 a ton. It sounds like a benefit as the quarter progressed. But you also talked about the hit from average cost inventories, so I was confused. So I was wondering if those 2 just cancel each other out. So that was just one question. If you could talk a little bit about the progression of prices and costs, add that cost element, if you could, in that discussion.
Tamara Adler L. Lundgren: Sure.
Richard D. Peach: Firstly, on the average inventory accounting, Timna, yes $6 per ton adverse effect in Q1. This really is an impact that's arisen from higher cost inventory as we came into the quarter when the market was still falling. But as prices rose towards the end of the quarter, this is working its way out of the system. And we expect during the second quarter a much reduced impact from this and, therefore, this should contribute towards an improving performance in the Metals Recycling Business.
Timna Tanners - BofA Merrill Lynch, Research Division: Okay, helpful. So my other question is really taking a step back and looking more broadly at the global scrap market. I appreciate that, yes, the scrap price has been rising, but there has been a lot of commentary about the export market being weaker than the domestic market, specifically with problems in Turkey, and also some comments about the structural weakness of scrap exports to -- or imports into China. I just wanted your thoughts maybe on what you're hearing in the markets and more broadly on the export side.
Tamara Adler L. Lundgren: Sure. Timna, basically these markets work in tandem. So, at any point in time, the domestic market versus the export market lead each other, and the domestic market has been pretty much over the last 9 months been on the leading edge of that. In terms of trading activity on the export side, Turkey was in for a large number of sales a little over 1 month ago, and they typically come in for large sales, leave the market and come back in. So it's a normal trading pattern. Now, having said that, obviously, they've had some political issues over the last month or so, but their trading pattern appears to be normal. On the Asian side, again, China, Southeast Asia come in and out of the market. China continues to be in our top 3 purchase destinations for the last few quarters and I think will continue to do so. There -- the structural comments that I think you're referring to are the commentary about they're using less scrap over the course of the last year or so. And I think what we've said before and what we believe, is that they do arbitrage. Whatever raw material is cheaper for them to use in their steel production, they use. But longer-term, the focus on the environmental impacts, the pollution control that is becoming more and more front and center for them, for their people and for their government, electricity cost and the fact that in the last 2 of their 5-year plans, the government has articulated policy objective of wanting to have scrap -- a higher percentage of scrap used in their manufacturing. I think all of that will come together so that there -- the China industry and the China government will come together and map out a way forward to increase their scrap usage. Bottom line, they're still one of the top 5 importers of U.S. scrap in the world.
Operator: Our next phone question will come from Luke Folta with Jefferies.
Luke Folta - Jefferies LLC, Research Division: First question I have is, looking into the second quarter, basically I get why things are improving into fiscal 2Q. I wanted to see if we could just talk through what the potential magnitude could be because there's just a lot of moving parts. It looks like domestic prices are up quite a bit, $50 or so; export prices look like they might be pulling back some in January. It seems like the whole price improvement is being driven by low flows, which would lead us to believe that buy prices are probably up so we're probably seeing some metal margin drag there. And I guess, I'm not sure where your inventory position is heading into the quarter. I guess all this to say, can you give us some color or some idea how to think about what the magnitude could be in terms of margin improvement into 2Q?
Richard D. Peach: Yes, it's Richard here. I agree, there are some uncertainties in the remainder of the quarter. However, there are certain things we can point to within our results on our commentary. In the Metals Recycling business, the additional cost reductions from program initiatives should add $2 per ton incrementally to the results. And then the market improvements that you talked about, as I said in my answer to Timna's question, we believe the turning tide of the market will reduce the impact of average inventory cost. That was a negative $6 in Q1, and any reduction in that effect will benefit MRB's second quarter results. So these are 2 things specifically I can talk about. In the Auto Parts Business, our first quarter included $1 million of operating losses from the new stores. And what we said is, we believe we'll achieve breakeven performance from those stores in the second quarter, so that should benefit the Auto Parts results. And in the steel mill, the first quarter results included a $1 million bad debt reserves, which we don't expect to recur. And therefore, their underlying performance should show through, and that will benefit their results. So these are specific things I can point to. Clearly, there's some uncertainty, but we've got positive momentum going into the second quarter.
Luke Folta - Jefferies LLC, Research Division: Okay. And in terms of the inventory impact in the first quarter, I get that will -- you're saying it will reduce into 2Q, but I'm wondering if it wouldn't be potentially a material gain in 2Q.
Richard D. Peach: Based on our internal projections, we are not seeing a material gain. However, if the impact is reduced, that will benefit our results because we had a $6 per ton adverse effect in Q1. As we extend, that reduces and heads towards even a 0 effect. That could be anything up to a $6 benefit.
Luke Folta - Jefferies LLC, Research Division: Okay. So I guess your expectation right now would be that the change in inventory impact will be somewhere between 0 and $6?
Richard D. Peach: Correct.
Luke Folta - Jefferies LLC, Research Division: Okay, that helps. Can you talk about what you think the working capital reversal will be in the second quarter in terms of impact on cash?
Richard D. Peach: Well, we continue to pursue very strong management of our working capital. And actually, our operating cash flow in the first quarter of $26 million was the fourth quarter in succession where our operating cash flow has been positive. To the extent that prices increase or that flows increase and there is the potential for our investment in working capital to grow in the second quarter, but on the other hand, we are expecting our sales volumes to slightly increase in the second quarter. So our revenues should also increase. So it's difficult to predict. But what I would point to is over the last 5 or 6 years, we have a strong track record of positive annual operating cash flows, even though from time to time, we do have a quarter that is negative.
Luke Folta - Jefferies LLC, Research Division: Okay. And then just lastly, on CapEx, a big step down this year. If we look at it on a percentage of revenue basis or shipments, it looks like this will still be the lowest spend that we've seen as far as my model goes back, at least 10 years or so, it seems. Does this represent a level of spending you think is kind of below the sustainable run rate?
Tamara Adler L. Lundgren: No, I mean we are covering what we consider maintenance, CapEx, equipment replacement, safety environmental, all the normal aspects of our operations. I think the disconnect that we've discussed between what you see in depreciation and what you see in our spend is that we had some very large capital projects come online last year. And so that kind of creates that theoretical depreciation number that's not practical or necessary on a -- on the next few years in terms of how those investments depreciate. So we're quite comfortable at this level, and we don't have big capital projects on the board for fiscal '14.
Operator: And it looks like our next phone question will come from Phil Gibbs with KeyBanc Capital.
Philip Gibbs - KeyBanc Capital Markets Inc., Research Division: I had a question on the nonferrous aspect of the business. Nonferrous, based on our work, has been muted as far as the profit contributions to a lot of the domestic companies in the scrap side, and it was a big tailwind and I think you even talked about this in the past a few years ago. When could we potentially see an inflection toward nonferrous being more of a tailwind for you? And has the China import issue of the nonferrous materials been part of that?
Tamara Adler L. Lundgren: Well, nonferrous has been a big part of our growth over the last several years. For our business, we see steady widespread demand. We've got a global distribution platform. And from a macro perspective, it's been positively impacted by what we call the strong As: strong auto, appliance and aerospace production. Plus, it's been positively influenced by better U.S. GDP growth, better employment numbers, better durable goods numbers, better consumer confidence. So we've seen it as a positive to our performance. In terms of specific numbers, Richard, you can...
Richard D. Peach: Yes, I think to the extent we begin to see improvements in flows of materials come through our the yards, Phil, we should see a double whammy benefit because we will get additional ferrous margin, and then we will also get additional nonferrous margin because of our back-end processing and extraction of nonferrous material from those flows. So while, currently, our nonferrous volumes are running an annual run rate of somewhere around GBP 525 million, they have been significantly higher, well over GBP 600 million within the last 3 years. And we hope to get back there as the flows begin to pick up and when we see these leading indicators on the macroeconomic side turn into a better flows of scrap coming to our yard. So we're very, very focused on it.
Operator: Our next question will come from Sohail Tharani with Goldman Sachs.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: I wanted to ask you about this slide you have of domestic versus international prices, Slide 5. It shows that the domestic prices have risen faster than the export price. So I'm just wondering, almost 80% of stock you export, how do you benefit with this price increase if you're buying at a higher price in the U.S. and selling at a lower price in the export market?
Tamara Adler L. Lundgren: Well, the market, at the end of the day, is a global market. The domestic market and export markets move in tandem. So it just depends who's leading. The U.S., the U.S. domestic market has been leading price increases for most of the last 9 months, and the export markets have followed. So what you can see in our sales is that we have a platform that is flexible, that enables us to take advantage of whichever markets are stronger. So you saw that we sold about 1/3 of our production into the domestic market in the last quarter. But fundamentally, they drive each other. So when, for example, U.S. domestic prices off the East Coast increase, you'd see that follow through to East Coast exports and vice versa.
Operator: And it looks like our next question will come from the line of Andrew Lane with Morningstar.
Andrew Lane - Morningstar Inc., Research Division: The second quarter was your second strongest quarter with regard to ferrous shipment volumes for the last 2 years. Could you provide some color as to the impact you'd expect on seasonably harsh winter conditions to have on 2Q operating performance this current year?
Tamara Adler L. Lundgren: Well, as we indicated in our prepared remarks, we anticipate Q2 volumes to be slightly above Q1 volumes. This weather that we're experiencing right now may well impact some supply flows for a period of time, but typically that evens out over the quarter. So it's really too early to tell what the weather impact will be on the quarter. Our quarter ends in Feb. And hopefully, this polar vortex will pass within the next few days.
Andrew Lane - Morningstar Inc., Research Division: Okay. And then just to switch gears, just quickly with regard to the $40 million to $50 million CapEx target, what's the split between maintenance and discretionary CapEx there?
Richard D. Peach: It's virtually all maintenance CapEx this year, Andrew. As Tamara mentioned, we don't have any major growth CapEx projects on the block currently. So it's mainly maintenance CapEx, the vast majority of it is.
Operator: And our next question will come from the line of David Lipschitz with CLSA.
David A. Lipschitz - CLSA Limited, Research Division: So a quick question for you guys, and I don't mean to beat the proverbial dead horse with regards to the domestic versus export market. But if prices -- like I think Luke or somebody else said, that prices in the export market have started to fall and domestic are going higher, in the short-term, do your margins get squeezed because of that? If that were to stay where it is, I know eventually things will level themselves out. But in a short-term situation, is that what would happen?
Richard D. Peach: Well, what we've done, of course, is we divert more material into the internal markets that helps us. I think we're always very focused on maintaining our positive and cash metal [ph] spread, so we don't see that as a major factor unless it's sustained for a long period of time. But as Tamara said earlier, the export and domestic markets generally work in tandem, so there's always a correcting factor after -- normally after a short period of time.
Andrew Lane - Morningstar Inc., Research Division: And then just quickly, I know last quarter you sort of gave a little bit of guidance in terms of operating income that you weren't going to have operating income. Are you willing to state whether you think you'll have positive or negative operating income next -- this quarter or second quarter?
Richard D. Peach: Well, we had positive operating income in each of our businesses in the first quarter. And in our commentary today, we've mentioned that we expect each of our 3 businesses to have improved performance in the second quarter. And so yes, we expect positive operating income from each of our 3 businesses in the second quarter.
Operator: And presenters, this does conclude our time for questions. I'd like to turn the program back over to Tamara Lundgren for any additional or closing remarks.
Tamara Adler L. Lundgren: Thank you, operator, and thank you for joining us on our call today and for your interest in our company. We look forward to speaking to you again in April when we announce our second quarter results. Thank you.